Operator: Good morning, everyone. And welcome to eHealth Inc's Conference Call to discuss the Company's First Quarter 2025 Financial Results. At this time, all participants have been placed in listen-only mode. The floor will open for your questions following the prepared remarks. I will now turn the floor over to Eli Newbrun-Mintz, Senior Investor Relations Manager. Please go ahead.
Eli Newbrun-Mintz: Good morning. And thank you all for joining us. On the call today, Fran Soistman , eHealth's Chief Executive Officer; and John Dolan, Chief Financial Officer, will discuss our first quarter 2025 financial results. Following these prepared remarks, we will open the line for a Q&A session with industry analysts. As a reminder, this call is being recorded and webcast from the Investor Relations section of our Web site. A replay of the call will be available on our Web site later today. Today's press release, our historical financial news releases and our filings with the SEC are also available on our Investor Relations site. We will be making forward-looking statements on the call about certain matters that are based upon management's current beliefs and expectations relating to future events impacting the company and our future financial or operating performance. Forward-looking statements on this call represent eHealth's views as of today and actual results could differ materially. We undertake no obligation to publicly address or update any forward looking statements except as required by law. The forward-looking statements we will be making during this call are subject to a number of uncertainties and risks, including, but not limited to, those described in today's press release and in our most recent annual report on Form 10-K and our subsequent filings with the SEC. We will also be discussing certain non-GAAP financial measures on this call. Management's definitions of these non-GAAP measures and reconciliations to the most directly comparable GAAP financial measures are included in today's press release. With that, I will turn the call over to Fran Soistman.
Fran Soistman: Thank you, Eli. And good morning, everyone. eHealth delivered another quarter of strong execution, driving significant revenue and profitability growth year-over-year. Medicare beneficiaries are navigating a complex and evolving plan landscape with significant benefit changes that became effective January 1 of this year. In this environment, our customer centric choice model is more relevant than ever. During the first quarter, we increased our Medicare submissions 22% compared to a year ago while also expanding enrollment margins, reflecting ongoing progress and optimizing our sales and marketing processes and growing consumer awareness of our brand. First quarter revenue of $113.1 million grew 22%. GAAP net income was $2 million and adjusted EBITDA was $12.5 million. We ended the quarter with $155.6 million in cash, cash equivalents and short term marketable securities, reflecting strong collections from new Medicare enrollments. The most recent enrollment cycle encompassing the fourth quarter AEP and the first quarter OEP served as a testament to the critical value of our services. Our omnichannel marketplace empowered hundreds of thousands of Medicare beneficiaries to explore their coverage choices, a complicated and highly consequential decision. During these critical months, eHealth was positioned to leverage elevated consumer demand due to our superior market positioning built on several key differentiators, including comprehensive and leading omnichannel capabilities, an unwavering commitment to gold standard customer service that we believe sets us apart from industry alternatives and our distinctive consumer brand that resonates with Medicare beneficiaries. Beyond driving new enrollment growth, providing exceptional service to our existing members, including the record breaking cohort enrolled last AEP remains a strategic priority. During the first quarter, we strengthened our retention initiatives, nearly doubling the size of our dedicated retention and customer service team. Despite the strategic investment, our acquisition cost per approved Medicare member encompassing marketing and call center related expenses decreased by 10% year-over-year. In April, our industry saw two important developments, the release of final Medicare Advantage and PDP rules and the final Medicare Advantage reimbursement rates for plan year 2026. We see the final rules as striking the appropriate balance between protecting beneficiaries and acknowledging the value that quality reputable broker such as eHealth offer seniors. The private sector can effectively provide critical Medicare advisory and distribution services at no cost to taxpayers unlike government sponsored channels with budgets often measured in the hundreds of millions. While final Medicare Advantage carrier reimbursement rates exceeded market expectations and were substantially higher than the preliminary rates indicated earlier this year. This adjustment provides much needed relief to the broader Medicare Advantage industry, which has faced challenges from regulatory changes, increased medical costs and elevated plan utilization. While maximum broker commission rates have not yet been announced, they have historically correlated with movements in the final Medicare Advantage rates. It remains premature to predict the landscape of the next annual enrollment period. Carriers are currently developing their 2026 bid strategies, including benefit structures and geographic market strategies for Medicare Advantage offerings. We anticipate gaining a more comprehensive understanding of the upcoming AEP cycle once bids were submitted. Nevertheless, we firmly believe these CMS announcements constitute an important positive development for the entire Medicare Advantage ecosystem and we commend the administration for its continued support of this program, which has been shown to deliver superior health outcomes compared to traditional Medicare. Moving now to our first quarter operational performance. Total Medicare submissions across fulfillment models grew 22% year-over-year. Within our agency fulfillment model, we maintain strong momentum with submitted MA applications up 26% year-over-year, driven by our effective marketing strategies and improvements in telephonic and online conversion rates. We recognize that the annual notice of change or ANOCs can be confusing to seniors. In fact, not all beneficiaries who experienced coverage or provider network changes, which became effective January 1, fully understood the impact until they started utilizing their plans. Anticipating this, we retained a larger number of licensed advisors going into OEP and were able to effectively support this continued strength and demand for our services. During the quarter, we generated robust growth across all fulfillment channels, spanning telephonic, pure enrollment and online assisted. Hybrid enrollments where seniors utilize a combination of our proprietary online tools and licensed advisory support experienced the strongest growth at 38% year-over-year for submitted MA applications. This demonstrates the advantage of our unique omni channel features, such as live advise video conversations, online agent chat, planned text proposals and other integrated capabilities. Our branded messaging continues to resonate with Medicare beneficiaries, helping to drive another meaningful year-over-year increase in contribution from direct channels compared to third party lead sources. To date, our brand strategy has primarily emphasized the advisor driven customer experience highlighted by our Medicare Matchmaker TV advertisements that received excellent reception among target demographics. We believe further opportunity remains in harnessing this brand momentum toward our online experience. As we approach next AEP, we will implement comprehensive initiatives to extend our brand identity to create a stronger, more visible connection between our trusted brand, our gold standard advisors and our sophisticated online consumer platform. eHealth remains committed to maintaining our position as a technological leader in our industry. Last week, we announced an innovative pilot program integrating artificial intelligence across components of our telephonic enrollment funnel. Initial results and customer feedback have been positive. AI represents a powerful tool that has allowed us to provide valuable assistance to customers after hours and could enable us to deliver more timely customer service during peak enrollment days when industry wide telephonic wait times are typically long. We plan to continue evaluating and refining these capabilities in preparation for the upcoming AEP. In Q1, we maintained our proactive approach to member retention. Overall, we are encouraged by early indicators, particularly our enhanced ability to recapture members who transition between plans while remaining on our platform. We will have a more comprehensive view of our retention performance in time for our next earnings call. eHealth continues to receive positive feedback from carrier partners regarding our quality scores, our strategic investments and retention initiatives and the consistent enrollment volume growth we've delivered in recent quarters. Several carriers have specifically highlighted the superior quality metrics associated with enrollments generated through our branded marketing channels. We remain bullish on our diversification opportunities outside of our core MA capabilities. In Q1, we drove strong growth in our ancillary insurance products anchored by hospital indemnity and dental insurance plans. Further, we achieved Medicare supplement submission growth of 32% within our agency fulfillment model. We also continue to believe in the long term potential of the individual coverage health reimbursement arrangement or ICHRA market. This product area is still very small in terms of its financial impact but is expected to become a more meaningful contributor in 2026 and beyond as we work to create a best in class seamless process for B2B customers to gain value from our services. The first quarter represents a strong start to the year. While we exceeded our expectations with respect to earnings, we're not making any changes to guidance as it's simply too early in the annual cycle. AEP remains our key volume quarter despite the increased significance in Q1 this year. Additionally, we are awaiting several important data points pertaining to the industry outlook, including carrier benefit designs, their AEP strategies and broker commission rates, among others. As we transition into Q2, we anticipate challenging year-over-year comparisons due to regulatory changes in dual special needs plans or D-SNP enrollment rules. These factors are fully incorporated into our forecast for Q2 and Q3 as well as our comprehensive 2025 guidance. New to Medicare enrollments will constitute an especially important consumer segment for us in Q2 and Q3. We believe we are well positioned to succeed with these beneficiaries given our advanced technological capabilities and sophisticated audience targeting strategies. Other eligible audiences who can enroll outside the standard AEP and OEP windows, such as beneficiaries qualifying for chronic special needs plans or C-SNPs and seniors who have recently relocated or retired will also be important for our enrollment volume throughout the next two quarters. With our eye on the critical fourth quarter, we are already starting our preparations for the next AEP, including ramping and training our advisor force, developing the marketing and media plans to continue to scale our brand and meeting with carriers to discuss how we can best support their strategies this year. Before I turn the call over to our CFO, I would like to acknowledge and comment on the Department of Justice complaint announced last week, naming eHealth and several other players in our industry. We first disclosed the government's investigation into this matter in early 2022. Since then, the company has fully cooperated with the Department of Justice to demonstrate that we are conducting and have in the past conducted our business affairs consistently with federal regulations. Our legal team has spent the last week reviewing the complaint and we strongly believe the key claims of the claim are without merit and we intend to challenge them vigorously in court. It's also important to note that the claims asserted in the complaint are allegations only. There have been no determinations of liability and eHealth has not taken a litigation loss reserve related to this matter as of today. Finally, I want to reemphasize eHealth's steadfast commitment to our customers to provide free, unbiased expert advice as they navigate complexities of the healthcare environment. We are an organization that places a high value of integrity and transparency. Our mission to expertly guide consumers through their health insurance and related options when, where and how they prefer is critical to what we do at eHealth and contributes to our operational decisions on a daily basis. I'll now turn the call over to John Dolan, who will cover our financial results in greater detail. John?
John Dolan: Thank you, Fran. Good morning, everyone. Our first quarter results reflect strong Medicare volume growth accompanied by year-over-year enrollment margin expansion. This performance allowed us to achieve significant improvements in our key profitability metrics, including GAAP net income, adjusted EBITDA and Medicare segment profit compared to the first quarter of 2024. As I review our first quarter results, all comparisons will be on a year-over-year basis unless otherwise specified. First quarter revenue of $113.1 million grew 22%, driven primarily by increased Medicare enrollments and positive net adjustment revenue or tail revenue of $10.5 million compared to $2.5 million in the prior year. Medicare segment revenue was $103.7 million, an increase of 26%. Medicare submissions across agency and amplified fulfillment models grew 22% with our agency model delivering particularly strong submission growth of 25%. Our Medicare segment generated $8 million of tail revenue, the majority of which was generated by our MedSup and PDP books of business. Medicare non-commission revenue was $13.9 million, a 20% increase driven mostly by greater fee based revenue from Amplify compared to last year as we transitioned majority of that business to a non-broker of record fee based payment model in March of 2024. Medicare segment gross profit of $35.7 million represented an exceptional increase of 62%, powered by revenue growth and enhanced unit economics. Our Medicare per unit acquisition costs continued to decline year-over-year, demonstrating our ongoing ability to refine and optimize our customer acquisition approach. Notably, our direct channels, particularly our branded marketing campaigns, have consistently delivered premium lead quality. As total lead volume contributed from direct channels has increased, we've seen a corresponding positive impact on our online and telephonic conversion rates. First quarter total acquisition costs per MA equivalent approved member improved 10% year-over-year. Within this metric, we achieved a 14% improvement in CC&E costs per MA equivalent approved member despite increased investments in member retention initiatives, which largely have little contribution to new enrollment volume. We also saw a 5% improvement in first quarter variable marketing costs per MA equivalent approved member. MA LTV declined 5%, primarily influenced by retention trends in prior Q1 cohorts. Medicare Supplement LTV grew 31% year-over-year, reflecting a favorable shift in carrier mix. First quarter ratio of LTV to variable marketing costs per approved Medicare member was 2.3 times. Our fully allocated LTV to TAC ratio, which also includes all of our call center expenses, was 1.2 times. Both ratios were flat on a year-over-year basis. Retention remains a key strategic initiative and we are allocating resources to support our existing member base during this dynamic period in the MA industry. While we will not have a full view into our post OEP member retention until later this year, we can share early insights on the dynamics we're observing. As anticipated, we've seen increased switching activity during this AEP and OEP cycle. These trends align with our expectations and we remain confident that our commission receivable asset incorporates sufficient conservatism to account for this volatility. We are also encouraged by better than expected cash collections from our book of business we've seen year-to-date. With respect to tail revenue, we have not encountered any developments that alter our expectations for the full year. Accordingly, we are raising the low end of our 2025 range for tail revenue to reflect our first quarter performance. Our updated 2025 tail revenue range is $11 million to $20 million. Our cumulative tail revenue recognized from Q1 of 2018 through Q1 of this year now stands at $234 million, a testament to the strength and reliability of our receivable. Our Employer and Individual segment produced revenue of $9.4 million in Q1 with a segment gross profit of $6 million, both segment revenue and gross profit were down year-over-year. Within this segment, we are seeing concurrent trends of encouraging signs within ancillary and ICRA opportunities, while at the same time legacy product remained in decline on larger revenue basis than the smaller but growing products. Moving on to consolidated key profitability metrics. First quarter net income was $2 million compared to a net loss of $17 million a year ago. Adjusted EBITDA was $12.5 million compared to negative $1.7 million in Q1 2024. Adjusted EBITDA exceeded our expectations both excluding and including the tail revenue we recognized in the quarter, driven partially by favorable enrollment margins as well as timing benefits related to operating expense recognition. Non-GAAP operating expense was $104.5 million, up 6%. Total non-GAAP marketing and advertising expense increased by just 7% relative to Medicare volume growth of nearly 3 times that rate. Non-GAAP technology and content decreased by 3% while non-GAAP general and administrative decreased by 8%. This positive trend in operating expense performance provides strategic flexibility for the remainder of the year. Depending on the selling environment in the second half, we may elect to reinvest some of this upside into customer acquisition. Operating cash flow in Q1 was $77.1 million, up from $70.8 million last year. For the 12 months ended March 31, 2025, operating cash flow was negative $12 million, reflecting our decision to lean into strong consumer demand in the fourth quarter of last year and again this first quarter. Following the robust cash collections of the first quarter, eHealth ended March with cash, cash equivalents and short term marketable securities of $155.6 million. Combining short term and long term receivables, our ending commissions receivable balance was $923.3 million. This compares to $845.3 million as of March 31, 2024. Looking ahead, we are reiterating our annual guidance ranges for fiscal 2025. Our first quarter enrollments came in within our expectations while revenue and earnings benefited from timing of tail revenue recognized during the quarter and favorable operating expenses relative to our expectations. As Fran mentioned, while we have seen positive early signs of the Medicare macro environment thus far in the year, it is too early to tell how this upcoming enrollment cycle, including planned offerings and the amount of consumer shopping will compare to last years. We also want to maintain the flexibility to reinvest a part or all of the first quarter expense capability later in the year depending on what we see in the market. In terms of our outlook for second quarter, as we discussed on the last earnings call, our typical seasonality will be amplified by newly implemented restrictions on D-SNP enrollments outside of the main enrollment periods. Q2 earnings will also reflect increased costs associated with our initial advisor ramp and other preparations ahead of the AEP. Further, a meaningful portion of the tail revenue we recognized in Q1 was a timing shift from Q2 relative to our forecast. As a result, we currently expect second quarter revenue to be in the mid-40s and millions of dollars with adjusted EBITDA loss in the mid-30s and millions of dollars. As we look forward, we are highly encouraged by the underlying strength of our Q1 results. We believe these achievements, coupled with our strategic initiatives focused on brand development, retention optimization, technological advancement and call center operations, positions us exceptionally well to achieve our goals for this year and beyond. Operator, please open the line for questions.
Operator: Thank you. Ladies and gentlemen, we will now begin the question and answer session [Operator Instructions]. Your first question comes from Ben Hendrix with RBC Capital Markets.
Ben Hendrix: I just wanted to ask a question about kind of the MA landscape. We saw that carrier Elevance may have taken, I guess, the non-rate action removing all of its Medicare Advantage plans from online marketing platforms effective here in May. Just wanted to get your take on that move, how impactful it's going to be to the remainder of the year, if that impacts at all and kind of how common is that type of action among the MA carriers in this environment?
Fran Soistman: The macro environment continues to evolve, not to get into the specifics with Elevance, but I think it really speaks to why EL strategy has really been focused on significant choice. So we're not totally dependent on one carrier or two carriers to drive our performance. We have nearly 50 Medicare Advantage carrier relationships across the country, great representation in all geographies. So I would concede, it's somewhat unusual to see this kind of action or activity at this state of the season but these are seasonally low quarters historically, Q2 and Q3. And I would envision that they will revisit their decision in preparation for the 2026 AEP.
Operator: Your next question comes from George Sutton with Craig Hallum.
Unidentified Analyst: This is Logan on for George. Maybe one for you Fran to start. Obviously, you've talked about a better regulatory environment for a while now. And the reimbursement rate notice last month certainly seems to be our first indication of that. I'd be curious to get your thoughts on like beyond that maybe what do you look for in terms of more specific to you guys with those final rule notices that you guys think would help you guys kind of from an operational standpoint kind of improving the experience for beneficiaries and also obviously we hope to see that follow through to the financials, but just what do you look for next?
Fran Soistman: We're cautiously optimistic of the evolving events going back to combination of the regulatory more certainty and not seeing a consecutive year of new regulation requirements. I think it's great to see that the administration, the new administration has followed through with its commitments to look at the regulatory environment and to see opportunities to diminish the regulatory requirements in businesses, whether it's in our industry or others. So the fact that there was new and that some of the proposed regulations were not adopted was very encouraging. Similarly, on the rate environment, the past four years has been a tough rate environment for the carrier industry and the increase was beyond what was expected but probably still falls short of their full requirements. That said, we expect that there will be less volatility in the 2026 AEP season. But again that remains to be seen as we get closer to understanding their bid strategies and what they've actually done. Lastly, our commission rates are also determined by CMS and the timeframe for those changes typically falls in the month of June. I don't expect that to change this year. Rates oftentimes align with what's happening on the carrier rate side. So that could be encouraging news. We've not built that into our budget or our forecast. So that remains to be seen but clearly some important check-in points, most importantly by far would be the BIP strategy.
Unidentified Analyst: And then maybe a quick follow-up to that. In an environment where we get maybe a few positive rates in a row, does that change your thoughts about Amplify or maybe where that could go? And then maybe just in general, can you give us an update on that front, anything you've changed or any updates you've made?
Fran Soistman: Amplify was -- the creation of that was based on what we saw with mainly some of the large and mid-sized Medicare Advantage organizations that didn't want to have to create their own internal capability for what we have demonstrated we're very, very good at. So I think it will continue to evolve. I believe there will continue to be new opportunities irrespective of the rate environment. Operating call centers is quite complex and it's also very seasonal. So given the changes with the special election periods, D-SNPs in Q2 and Q3, I think frankly it would motivate organizations to look at and outsource solution so they're not carrying that fixed cost in low seasonal quarters. So I actually think it will continue to evolve nicely.
Operator: [Operator Instructions] Your next question comes from Jonathan Young with UBS.
Jonathan Young: I guess kind of going to the litigation. I guess have you seen any change in carrier discussions in terms of what they are going to do in terms of marketing just given kind of the focus from the DOJ and some of the commentary from the administration in regards to this and what this may mean for you?
Fran Soistman: It's really too soon. As you know, this news broke last Thursday and there clearly will be conversations as they typically are. We talk with our carrier partners with great frequency but nothing to report as of now. Look, it's important to point out that some carriers are very supportive of sponsorship programs. Others don't participate in sponsorship programs. So it's not an industry wide situation. So I think that that's -- I would say, the call out, it's limited to really a handful of carriers that have historically utilized sponsorship programs.
Jonathan Young: And then just in terms of kind of ancillary services, obviously, you have Amplify there. Are you providing other services to the carriers that may help drive attention or kind of move away from the kind of core commission stream product, again, just given some of the focus on this from CMS just broadly?
Fran Soistman: I would characterize what we do today is still in its infancy and it's limited to a few carriers. And programs can consist of onboarding assistance, some provider scheduling services, some HRA services, nothing widespread and nothing of great significance. So it's not a very meaningful component of our revenue structure today. As far as retention, we have found -- it's really a great question. The more things you can do for beneficiaries, the more memorable you become, particularly if they see it as adding great value. So it does play a role but it's small at this point. So I can't say that it's moved the needle with respect to retention. But theoretically, we believe it does help.
Operator: There are no further questions at this time. I'd now like to turn the call back to Fran Soistman for some closing remarks. Please go ahead.
Fran Soistman: Thanks, operator. Well, thank you all again for your time. Thanks for the questions and your continued support. We are very pleased with our strong performance in the first quarter, which reflects the hard work and dedication of our entire team. The progress we have made across our strategic priorities reinforces our confidence in the path ahead. As we look to the rest of the year, we remain focused, very committed and confident in our ability to continue delivering value for our customers, our employees and our shareholders. So again, we appreciate this important partnership and look forward to updating you again next quarter. Thank you.
Operator: Ladies and gentlemen, this now concludes your conference call for today. We thank you for participating, and ask that you please disconnect your lines. Have a great day.